Operator: Ladies and gentlemen welcome to the DSV Interim Financial Report Third Quarter 2021. For the first part of this call, all participants will be in listen-only mode and afterwards, there will be a question-and-answer session. Today, I am pleased to present CEO, Jens Bjørn Andersen; and CFO, Jens Lund. Please begin your meeting.
Jens Bjørn Andersen: Good morning, everybody. Welcome to the conference call Q3 2021. Results will be presented today here from Hedehusene, Denmark. Today also by Jens Lund and myself. You will notice that we have prepared a presentation for you and if you have finished reading the forward-looking statements on Page Number 2, you can see the agenda for this morning on Page Number 3, where I will touch upon some of the highlights of the recent quarter. Give an update on the integration of Agility GIL, talk to this three business segments and after that, Jens Lund will take over for the last three of the topics. As you can see, we finalize the session with the Q&A. And if I can, we have seen that we have already a lot of people, which is very nice queuing up. So please restrict yourself to two questions if I may ask you to do that. So Page Number 4, let’s start with the highlights of the quarter Q3 2021, the best quarter we’ve ever seen in the history of DSV. We think it’s a quarter characterized by a fantastic and very strong performance on the financial points. It’s been also a very difficult quarter in terms of servicing our customer’s supply chain needs, but you can see the figures yourself. We have seen a solid growth from both in terms of GP, but also EBIT growing earnings by 52%. We have included as you are probably well aware, Agility GIL from the 16th of August, so approximately one and half months and you will see the results from GIL as the gray square on top of here. But, I’m sorry to say that this will be the first and probably also the last time you will be able to see the GIL impact because as you have experienced with previous acquisitions in DSV, once we try to consolidate the companies is simply not possible for us to take the two operations apart and establish what comes from what. It’s not on the slide, but you’re probably also noticed this morning that we have announced changes in top management in DSV. I’m very pleased that the board and the nomination committee have come to this conclusion by appointing Jens Lund to the new Chief Operating Officer in DSV and appointing Michael Ebbe as new Group CFO. This is something that we have been discussing with the board for some time, at least to strengthen the top management of DSV and to free up resources to focus on developing on our digital plans, our productivity needs and to fire even more up on the roadmap, we have to improve the companies and the infrastructure in DSVs. I’m very pleased that Jens has taken upon him this very important role. And I also look very much forward to working with Michael that has had the role as Deputy CFO in the company for a period of time and has been with us also for a long period of time. We often take both the blame and also the fame when things go well in DSV, but Michael, he has had a very firm hand on the financial side, also of the integrations that we have done both with UTi, Panalpina and now recently with GIL. So we are both Jens and me very comfortable with also inviting now Michael into the senior management of the company. So Michael, we have decided to give him a little bit of a rest today, but as of next quarter he will go through the financial overview. So on Page 5, a little bit an update on the Agility GIL integration, we are off to a, I think actually we can say a flying start. The company has surprised us in a positive way which is also now why we have raised the EBIT impact coming from the acquisitions to DKK3 billion, previously it was DKK2.8 billion. It’s a combination of a better underlying performance, but we have also gotten a better overview of how the business case will stack up. So it’s a combination of the two. You can read how the EBITDA contribution is expected. And we expect that it will have a full effect in 2023, very much aligned with what we saw when we acquired Panalpina. Yes, we also – as you can see, we expect to complete the integration at the – like about a year from now, during Q3 next year, but already in Q2, we will have managed to integrate the lion’s share of the company. So this is where we expect to see the last nitty-gritty pieces falling into place. The integration cost is DKK1.5 billion in the region. It’s impossible to state exactly the exact number, but DKK1.5 billion. And we expect that approximately DKK500 million will impact the income statement in 2021 this year and the rest in 2022. So I guess no big surprises here. So let’s go to the divisions before I hand over. Air & Sea, I can only repeat the statements we have given in the previous couple of quarters yet again, very, very strong performance EBIT growth of 64%. Absolutely fantastic coming from a nice growth of course in GP and a continued very strong costs discipline. As you’re probably very well aware, the markets are very constrained and that actually impacts our yields in a positive way, but it is also associated with a more workload to handle the shipments on behalf of our customers. So our staff are also working like never before. And thank you to everybody for your contribution here. The margins are good. Please focus, again in this quarter on the conversion ratio margins, it’s slightly up compared to last quarter, still way above our long-term financial targets. And of course, looking at the EBIT margin it looks a little bit depressing that it’s going down, but that is a reflection of the very strong rate environment and the very, very high turnover that we are experiencing right now. And this is also the reason that we are. The long-term financial guidance is based on the conversion ratio and not the operating margin. You could also see a fairly good impact as I said from GIL, contributing in a positive way to the overall result of the quarter with only one and half months, but also here just a word of caution like in DSV, the EBIT of GIL is also positively impacted by the market conditions and this could drop a little bit going forward. So in the next two slides it’s about the two main areas that we’re doing in Air & Sea. Air freight, we’ve seen a 16% growth in volumes excluding GIL, is more or less in-line with the market estimates. So we are happy with that. You can see the number of tonnes 39,000 coming from GIL. So if you extrapolate that, you would probably also get to what we guided for at the beginning of when we acquired the company. So it’s an old surprise that is exports out of APAC and Americas which are the main drivers. And we were also happy to be able to see the yields developing also in a positive direction during the quarter. I’m sure a lot of you will ask here in the Q&A session, how long will this last, for airfreight, we are slightly more firm than what we can be in sea freight, but there are absolutely no signs that the capacity and supply site will change in the foreseeable future. It will only happen when we all return to long-haul flights and consequently, when we will see long-haul belly capacity coming back in. And there are no signs that this will change dramatically in the foreseeable future. On sea freight, if we also see the market conditions or the markets developments, first we are more or less flat. And this is on a number of TEUs which is also what we estimate that the markets have been so no really growth, but tremendous development on the yields, going up now to 4,700. So we are very pleased about that. This is where we have the highest disruption in the industry, in the supply chains. It’s still associated with great difficulties servicing our customers, but our staff members are doing a tremendous job and we are actually delivering, I think, what we can say a fantastic service to our customers in very, very difficult market conditions caused by a multiple of reasons, not only coming from the ocean carriers, but also due to a lot of disruption on the land, both at origin and at destination, with port facilities also being under pressure with very difficult COVID restrictions, also at origin. So I think we can say everybody is working hard to solve these problems on behalf of our customers, but we are happy with the development. And we also do believe that the difficult market conditions for our customers will continue well into 2022. So Page 9, roads also a good development. We are pleased with what we are seeing. At first glance it can seem a little bit strange that the GP is up 6% and EBITDA more or less flat, but when you look at that, you have to take into consideration that Q3 last year was a very strong quarter. And that we also see the impact of dilution of the margins coming from both GIL and also the Globeflight acquisition we have done in South Africa. We are still very confident and happy about the development in road. And we are sure that Q4 will be a fairly good sort of thing. Yes, you can read the commentary yourself about the verticals we are active in. We are starting to see some lack of capacity issues also in road, especially in certain areas, the UK, I guess, no surprise to anybody. And we now need to be firm and have discussions with our customers. It is very likely that the prices needs to go up also here in road. Last division on Page 10, it’s the solution division and the numbers also here speaks for themselves very, very strong. EBIT growth of close to 40%, also actually really, really nice as you can see impact coming from GIL. They are market leaders in certain areas of the world, especially in the MENA region. So we are very, very pleased to see the performance it has continued, and we have a very strong setup that we are very, very happy about. The utilization in our warehouses is probably the best it has been. I was about to say ever, but in a very, very long time, there’s a big demand for our services. And every time we build a new warehouse, it very quickly gets sold out the space. So we are optimistic, we’re happy about the results and we’re also very about the future of solutions. They’re doing really, really good and the margins also stands comparison to like the two other divisions by the way, to anybody in our industry. So really well done and we are happy and excited to see the new operations coming from GIL, also developing in a positive way in the future. So with that said I’ll hand over to you Jens.
Jens Lund: Thank you very much Jens Bjørn and I guess it’ll be the last time that I’ll have the pleasure of going through these numbers. Anyway DKK50 billion in revenue for the quarter, obviously driven by volumes, but certainly also driven by the rates that are fairly high, so growth of almost 60%. And you can also see that the GP has not grown to the same magnitude, which means that we pass on these costs and we don’t necessarily have the same off-lift in our GP. EBIT margin basically has also grown significantly. And that’s because of the efficiencies that we have in the operation, where we can handle the volumes in a very efficient way without adding too much extra resource, so a tremendous effort from our teams. They’ve done a wonderful job on that. The cost base if you go a little bit lower, you can see that it’s very stable and of course that is driven by productivity. We have a very high productivity, very efficient utilization of the resources. FX, we’ve had some income this quarter the currencies have worked a little bit for us, some of you can remember last year they worked quite a bit against us, swings a bit back and forth but very much in-line on the other financial cost. If we look at headcount, we are almost 80,000 employees. Now we’ve added 17,600 from GIL and it’s what can I say significant numbers of we’re talking about and if we look at the EPS, we have now it’s 12 months rolling, it’s calculated. So we have almost DKK44 up from DKK21.7 last year. If we skip to the next slide, has been a few comments on the working capital development. I think it’s driven by the rates. We’ve not seen any sort of changes in our overdue, but given that the rates are so high, we simply had to absorb extra investment due to that in the working capital, which is quite unusual. And I think if, when the rates normalize, we will get some of this money back. We’ve done some extra work on vetting our datas right now and we are supporting them with additional investment in working capital at a certain point in time. We may have to discuss the development rhythm and if these assumptions they don’t change all the rates. Basically we’ve now acquired GIL, that’s part of the cash flow as well and you can see that on the investment side. And the reason for the 1.6 is that GIL has a net cash position in there. The gearing ratio of 1.6 so still very much in line with our policy conservative as well and net interest-bearing debt of 28 billion. So I think that’s covers basically the cash flow slides. The outlook on Page 13, we’ve sent that out early on as well. And you can see we’ve upgraded our guidance significantly because we believe that this development will continue for the remaining part of the year. I think one of the things, some of you have asked about special licenses, here specifically with an estimate of 500 million for the remaining part of the year, so not too much excitement about outlook because it’s already known. Page 14 the share buybacks we’ve announced another DKK5 billion share buyback, and we’ve estimated the split obviously for the last other recently announced buyback here and you would see that we actually reallocate significant funds to our shareholders, in-line with the policies that we’ve had for years. So basically a continuation of what we’ve been doing. And I think with that said, I think we are ready for Q&A. There should be quite a few questions on the line.
Operator: Thank you. [Operator Instructions] The first question comes from Cristian Nedelcu from UBS. Please go ahead. Your line is open.
Cristian Nedelcu: Hi, thank you very much for taking my questions. The first one on air, a few of the airlines are talking about bringing transatlantic passenger capacity to 80% to 90% of pre-COVID levels. I guess, could you tell us a bit, what’s your view in terms of the rate and the GP per unit development there over the next few months? Secondly, in terms of ocean, there are some articles out there talking about large carriers, looking to reduce the business with the freight forwarders, as well as to push more multi-year contracts in ocean to three-year contracts. Are you engaging in a meaningful way in these types of multi-year contracts? And if you are, can you talk a little bit about how you manage the risk if the rates are fixed at current levels? Thank you.
Jens Bjørn Andersen: Thanks very much for that question. Before I forget it, I will take the last question first. It is correct that we have seen a particular one shipping line trying to restrict the benefits that a certain freight forwarders have in the key account program. We’d like to believe that we are one of the companies who would still be part of that. So we see no change whatsoever for us in that respect. And when it comes to multi-year contracts we would not sign a multi-year contract with the carrier if we do not have a back-to-back with the customers. And with our customers, and they are very reluctant for understandable reasons to go into a two to three year, three year is the longest we have seen rate contracts. With also a lot of hard commitments with a debt freight needs to be paid if you don’t show up and things like that. So it’s going to be really interesting to see how this will pan out. I’m a little bit skeptical to at least three years, but it should have no major impact. On air it’s correct that the U.S. is opening up. We still need to see that, still a lot of demand on that particular trade lane. So it could be that we have said for a period of time that our yields are high, but we actually assume that for the foreseeable future, that our yields will not deteriorate on air either. I mean we do expect that the yields will stay on level with what they are now or just be only slightly down in the next period.
Cristian Nedelcu: But just could I kind of – what explains why should the transatlantic yield stay stable if there’s significantly more belly capacity? What am I missing here?
Jens Bjørn Andersen: No. It’s just that we are not – we don’t expect that we will get back to the 100%. And we still have a lot of what we do over the transatlantic is also with our own freight and network. So we do believe that, that will still be able to sustain the levels that we have right now. And you are right in saying that we are also saying today that it’s – as we have indicated for a long period of time, that our yields could come slightly down on that particular trade length. That’s a fair point. 
Cristian Nedelcu: Thank you very much.
Operator: Thank you. The next question comes from Alex Irving from Bernstein. Please go ahead. Your line is open.
Alex Irving: Two from me, please. So first for Jens Lund, first of all, congratulations on the new role. Could you please talk about what you expect to be your main priorities as COO and what DSV itself will be able to achieve by having a group COO that was maybe more difficult to do before? And then secondly, on market share, please. So your organic volume development you saw was broadly in line with the market ex M&A in Q3. And I think that puts you slightly down over two years on volumes in air freight and sea freight again ex M&A. Does that create an opportunity to capture market share in the coming years? And what sort of relative development would represent success for you, please?
Jens Lund: Yes. I think on the role itself, I think it’s been an evolution, it’s not a revolution within DSV. I think Michael has over time taken over many of the CFO tasks and I’ve been working more into the area where we develop our infrastructure. And this means that we do some strategic planning road map in both on the physical infrastructure, but also on the IT or digital capabilities of our company, and develop that together with the divisions. And I think this development is going to continue going forward as part of our strategic planning. That we continue to digitize the things that we’re doing. I think everybody knows that we are fairly advanced when it comes to that. And have a ability to grow and scale the company that is quite unusual if you compare to the industry. So I think that is basically the focus that will be there also going forward so that we have the right service offering and that we also then have the right productivity. So I think that was basically a little bit on the role itself, it will be interesting to be able to focus 100% on it. And I think that’s going to be great. 
Jens Bjørn Andersen: I think we are now formalizing something which has been in existence for the last, I don’t know, two, three, four, five years, even and it’s just also to free up some time for Jens because this is a major task that we have ahead of us. It’s a super interesting journey that we are on, and we can continue and even strengthen that position with Jens’ role. So we are full of support here from our side. It is, of course, a decision which has been taken with – by the Board, we cannot set the senior management ourselves. But of course, it’s something we have done in close cooperation with the Board. And just to make it clear to everybody, all the three of us at the senior management of the company will make ourselves available for analysts and shareholders and meetings. So even though Jens said it was the last time he would go through these numbers, I can promise you, it’s not the last you hear from Jens. And when it comes to market share, it’s correct that – we are – we have had a development which is more or less in line with the market. It is a very special market right now to go out and take large chunks of market share we feel without also taking some risks at least. But it’s a fair question, and the best answer I can give is that we need to go out and be able to take market share. Now we can have a situation again like we saw with Panalpina where it will be difficult because of the integration with GIL. But once that is over during next year, we expect ourselves to outgrow the market. If we don’t do that, we have failed, I can say that we need to take market share. And we don’t really put a number on it but at least to show a development on a like-for-like basis which is better than the market. It’s something that you should expect.
Alex Irving: Very clear. Thank you very much.
Operator: Next question comes from Sathish Sivakumar from Citigroup. Please go ahead, Your line is open.
Sathish Sivakumar: Thanks again for the presentation. I’ve got two questions. Firstly, on the shared service centers of GIL. How many employees are actually located in the GIL service centers. Are they – do you see any overlap of your current footprint in Manila and Warsaw. And then secondly, on white collar employees, out of the 17,600 GIL, what proportion are white color in GIL? And also if you could just give color on DSV’s stand-alone white collar employee footprint. That will be helpful. Thank you.
Jens Bjørn Andersen: Yes. I think I can say a little bit from that. Yes, you’re absolutely right that we have focused on shared service centers, what we call international shared service centers for the global flows in Warsaw and Manila. And actually, we run 24/7 in these two centers so that we can service around the globe 24/7. And of course, GIL has, what can I say, a different setup on the shared service center side where they have focused their operations in all the areas. We have already announced in turn that we will convert these volumes and move the volumes into the DSV infrastructure because we will run the operations on DSV infrastructure going forward. So many of these services will over time become redundant, and that will happen within sort of the next six to nine months or so. Then it should, in reality, most of it have been moved over to the DSV platform. And we are talking about operations, depends a little bit how you count it, but it’s probably in the magnitude between, I would say, roughly 750 people, could be a little bit more, a little bit less, whether you count outsourced IT services and stuff like that. And on the white collar employees, I think GIL, there are 10,000 approximately white-collar employees. And of course, they will merge into the DSV structure and we will then rightsize our business so that we would have the relevant number of FTEs. Typically, when we acquire companies, we see that we have a little bit higher productivity than the companies we acquire. So we will adjust accordingly. I think this time when there’s a lack of labor in the market. It will actually mean that some of these adjustments will, what can I say, give themselves because of natural churn in our business, which should make the integration more seamless at this time.
Sathish Sivakumar: Okay. Got it. And just a follow-up, actually. So just to Sorry, just to clarify, GIL doesn’t have any dedicated shared service centers right now?
Jens Bjørn Andersen: They do. They do have dedicated health service centers. They sit in other locations, predominantly in India, but they are also located in other places. So they certainly do have shared service centers. Some of them will remain with Agility. They still keep part of them for their own company as well. So that’s basically how they are organized.
Sathish Sivakumar: Okay. Got it, thank you.
Operator: Thank you. Next question comes from Muneeba Kayani from Bank of America. Please go ahead. Your line is open.
Muneeba Kayani: Good morning. My first question was around news flow of premium spot rates for container freight on the transpacific having declined from the peak in September. What do you think is driving this? Have you seen any slowdown, especially around kind of China power shortages. And then secondly, on the congestion issues, especially in the U.S., what do you think is the impact from, say, the Port of L.A. working 24/7. And does that kind of help to ease some of this congestion anytime soon?
Jens Bjørn Andersen: We are happy to see that some – the – what do you say, activity is happening in the U.S. to at least try to solve the problems and that they work 24/7 is, of course, a very good initiative. There’s no doubt about that. We still need to see the effect. To my knowledge, we haven’t really seen it. But of course, any initiative is fantastic because we are all in a position where we need to rectify the problems that we are seeing. So one would expect to see at least some positive signs. The big question is then will this solve the problem totally or not? And I’m sorry to say, I don’t think that, that situation alone is the only thing that needs to be done. There’s – the infrastructure is simply not good enough. There’s still a lack of onward moving capacity in the U.S., difficult finding trucks. The rail network is maybe not built to the capacity that it should be. And I think it’s a little bit the price – the country is paying for lack of investments for many decades. But it’s at least a good sign. For rates, it’s limited to a few destinations we feel, and it is, of course, volatile if we analyze the rate developments from week to – sorry, week to week. But what we pay the most attention to is the overall, what do you say, rate development on the big lanes, and there, we have seen more stabilization or plateauing of the rates and not a big decline at this moment in time.
Muneeba Kayani: And any impact from China power shortages so far?
Jens Bjørn Andersen: We haven’t seen that. It’s been – it was a lot of to say discussions about that a couple of weeks ago. It seems like – we haven’t seen it in the volume developments. And from what we understand from our Chinese organization it is limited to certain particular cities in China, and it’s not a general problem. So as long as it stays like that, we don’t expect it to have a negative impact on future volumes.
Muneeba Kayani: Thank you.
Operator: Thank you. The next question comes from Robert Joynson from Exane BNP Paribas. Please go ahead. Your line is open.
Robert Joynson: Good morning, everybody. A couple of questions from me, please. First of all, on sea freight volumes, you reported a like-for-like year-on-year reduction of 1% in Q3, which compared with a 9% reduction reported recently by one of your competitors. Now obviously, you can’t comment on competitors. But in general, are you aware of any factors that may have enabled DSV to source container shipping capacity more successfully than other forwarders? Has that been an issue that you’ve seen? And then the second question, just on truck driver shortages. It’s obviously been in the press a lot recently. You guys know the European freight market – road freight market as well as anybody. In the UK, I think we know what the issues are, but could you provide some color maybe on what you’re seeing throughout the rest of Europe and in particular, to what extent you think the situation has worsened over the past few months?
Jens Bjørn Andersen: Again, I’ll take the last question first. It’s correct that we actually do see more and more a situation where we see a lack of capacity and lack of drivers. We will find the trucks that we need on behalf of our customers. We will find the capacity that we need, but it’s probably going to be at higher prices than what we have paid before. I heard something quite interesting actually the other day, somebody is a little bit anecdotal, so don’t put too much attention to it. But saying that on the Polish truck haulers that we are using today, there are only very few Polish citizens actually driving these trucks today, which was very, very different 5 or 10 years ago where they were all Polish. So that means that it is of course, more problematic to find drivers and we have – the Polish strong companies are still there, but they need – they are employing drivers from further down in Europe. But we do believe that also with more legislation and regulation coming in from the EU that this will not ease the market and that rates or prices definitely will go up. And we, of course, are super committed to passing that on to our customers because we feel that they have to bear that burden. When it comes to sea freight volumes, I don’t know, as you correctly point out, it’s actually in my notes here, we cannot comment too much on our competitors. I would say, though, that we have endeavored, which we also – which we continue to do as we grow also into new ways of sourcing both air and sea capacity, as you probably realize that we have more charter capacity on air freight. We take more own capacity, which has been really, really beneficial for DSV and for the yields. But also on sea freight, we have been able to, which is probably something which we did not do in the past, but we have been able to go out and procure some block space agreements on behalf of certain customers that we probably did not do in the past. But to have a deep knowledge about what is happening at our competitors, we simply don’t know. But we are as we grow, we always also have to challenge ourselves in the way that we operate, and that is happening every single day in DSV.
Robert Joynson: Just one quick follow-up, if I may, just on the truck driver point. You mentioned more regulations coming in, in the EU. Could you just be more specific on that?
Jens Bjørn Andersen: Yes, there are a lot – the EU has made some changes to the way that haulers should conduct the business in terms of drivers, not to the same degree as before, being able to sleep in the trucks, certain intervals, they have to sleep in a hotel, which is not the rich, by the way, but – so I think politicians, they are not fully aware of that. The most truck drivers actually would prefer to sleep in their trucks, it’s their home. There are some regulations saying that a truck needs to return with certain interval to its home base also, which is not super beneficial. Also from a climate point of view because in certain cases, we estimate that it needs to drive empty maybe back to Romania where it comes from. So these are some of the regulations which are coming that will mean an increased price for our customers.
Robert Joynson: Very interesting, thanks Jens.
Operator: Thank you. The next question comes from Casper Blom from ABG Sundal Collier. Please go ahead. Your line is open.
Casper Blom: Congrats on the super strong results. Jens Lund, with this potentially being your last call, I have to ask you about an update for the Road Way Forward system. And then secondly, regarding GIL, now that you owned it for a couple of months, have you learned anything new about it? And is there anything you would want to divest at it?
Jens Bjørn Andersen: I’ll just say one thing. We – I sincerely do not hope the last call that Jens Lund participates in. He will be – he’s part of the management team too, top management team of DSV. And unless he refuses, which I don’t believe could be the case, Jens Lund will participate on these calls, because I can for sure tell you that I will not answer any questions on Road Way Forward. So we need our wingman here, Jens Lund, to answer these questions, and you will be able to answer questions to three of us going forward instead of two. But over to you, Jens.
Jens Lund: Might have expressed myself wrongly. It’s the last time I go through the figures. Michael will do that. He’s prepared them anyway. So – together with Flemming, but of course, I will focus on things like Road Way Forward is, of course, as you know, Casper, it’s a big part of the time I spend anyway. And right now, of course, we have gone live on the POC in Lithuania this summer, it works well. And now we have the two next – so POC means proof of concept. It’s all these IT terms that we use. So the proof of concept will continue now in Estonia and Latvia, and we will go live there for Christmas. And we are on plan with that. And then the next go live will be, what can I say, a more least complex country and also contribute more volume that will be Poland, and then we will go live in Germany after that. When these parks have been completed and we have adjusted accordingly, then we have an enterprise-ready platform that we can roll out throughout the group. And glad to report that it’s all green. But it’s not like it looks green on the top, but it’s also fair to say that it’s you paddle a bit under the surface in order to keep it green. So we are good, and I think that’s great. And if we take the GIL question. Yes, I think we have seen that the business case we have made, it stacks up. We’ve even upgraded the financial expectations a little bit, of course, because of the overall – of the underlying performance of the GIL business. But also because we see that it’s possible basically to consolidate and deliver on the planned, what can I say, efficiencies that we’ve seen when we did the diligence. And I think that’s all working out exactly as planned and probably every little track a little bit better that we have in the program, the integration program. So it’s not done anything. There’s still a lot in front of us, but also this integration is green in our projects there. So that’s good news.
Operator: Thank you. The next question comes from Dan Togo from Carnegie. Please go ahead. Your line is open.
Dan Togo: Thank you. I would just like to go back to the truck driver situation. And maybe can you give some flavor on the situation in the UK where this lack of truck drivers has been particular strong leg of this year. So any flavor here could be nice?
Jens Bjørn Andersen: In a situation like this, it is really – I have to get back to what we have said many times, big as beautiful it is easier to steer through an environment like this when you have a certain volume, when you have a certain relationship, when you are a big customer by the haulers. So of course, we have also experienced disruption. We have actually access – I remember that from my own time hopefully, so to say. We have approximately between 200 and 300 owned vehicles over there, which has also, by the way, been able to fuel efficiently to get the fuel that they needed during the crisis. So we have been able to service our customers, but it is tight. It’s not the preferred destination for any asset owner right now. If you analyze the shipping rates from Asia, you will find the highest being Asia to Felix though right now because of the inefficiency at the ports also, so. And the same goes for haulers, it’s super complicated from a customs point of view still. We do expect that this, when we all get some experience, will ease off a little bit and it will be normal operations like we see in Switzerland and Norway. But it has caused some problems where the utilization of a truck, which we often pay per mile or per kilometer basis is lower. So UK has been a tight market and difficult market. But we’re happy that we have good relationships also with others, some of our subcontractors also. And at least everything that goes from the Nordic countries to the UK is done in an unaccompanied way where it’s only the trailer that goes on the ferry which has also been a good way of operating for us.
Dan Togo: So just to conclude here, you can say – I know everybody sit here, but you had less, i.e., you win some share? Is that how to interpret it?
Jens Bjørn Andersen: We are doing okay right now in the UK. It’s not easy. The guys from the UK listening on this call will probably say what is he talking about. He doesn’t know how tough we are working. But I actually do. It is – how hard they’re working, it’s unbelievable what they have done in the UK. But we are the market leader on road freight in the UK and that has played into our hands. The bigger question is what will the overall volumes do in and out of the UK, we are not so optimistic on that, but – it’s still – UK is important for us, but it’s still less than 5% of our overall profits. So we are content with the situation.
Operator: The next question comes from Michael Rasmussen from Danske Bank. Your line is open.
Michael Rasmussen: First of all obviously seems like integrating GIL is moving along well. And now you are one extra person on the Executive Board. So can you please talk a little bit about your M&A appetite from here going forward? So that’s my first question. My second question is just on the growth numbers for the third quarter. Is it correct that GIL generated a 6.3% EBIT margin in the third quarter, i.e., above that of the organic DSV growth despite actually doing a lower gross margin in the quarter. And if those calculations are right, can you please tell us what is the reason for that, please?
Jens Bjørn Andersen: I’ll start with the M&A. I guess there’s no change in the M&A strategy of DSV. We have the deepest respect for the most recent acquisition that we have done, GIL. We are, of course, happy and proud that it seems like there’s not so much concern amongst investors about going. It’s still huge for us. It’s the second largest acquisition we’ve surpassing USD 4.5 billion in value. So we will keep our eyes on the ball right now and make sure that this will turn into a success. Then it doesn’t play a big role that we are free. It’s the same resources that we have. Michael will probably get some more resources to replace what he used to do. So in a way, you are right. But I don’t think you should expect more M&A activity, at least not due to this change in management. But we – in all modesty, we do at least that is what the numbers show us. We feel that it’s been the right thing for DSV to do M&A. Our industry is still not consolidated. We have a small market share. We’ve talked about this many times. All those fundamentals are still the same. So we want to continue on the M&A path. We have a lot of good plans. We hope that some of them will materialize. And if they do, we will announce them. And yes, until that day, I don’t think we can say a lot more on that.
Jens Lund: And then the road side, I’ll just say a little bit on the growth side as well, you asked about that. I think GIL has some very specific operations in the Middle East that carry, what can I say, perhaps a little bit different margin than we used to. Actually, they also control equipment to a larger extent than we do in this area. And of course, the capacity situation being tight means they have a little bit higher return. And then in Europe, they have a certain specialist setups as well, which is not normal network business that probably also have done a little bit better than you could have expected. So I don’t think you should extrapolate too much on it. But it’s nice to see that they actually pull the numbers up, that’s good news.
Operator: The next question comes from Sam Bland from JPMorgan.
Sam Bland: I have two, please. If I could start firstly with GIL. I think you’ve owned it for sort of about 1/2 of a year, and it did DKK270 million of EBIT. If you sort of run rate that, you’d probably get a number just over DKK2 billion for a full year. Is that how you look at it? And then you have sort of roughly DKK1billion of synergies on top? Or would you maybe take a different split of the sort of base and synergy number? And the second question is, we’ve seen this quite steady improvement in gross profit per unit in sea freight. Could you talk about sort of how much of that is you bought on longer-term contracts at lower prices and you’re now selling at spot. Is that a big part of the uplift in unit margin we’ve seen or not so important?
Jens Bjørn Andersen: Yes. I think if we take the GIL part, it’s correct that if you just multiply it by age, you get a different number. I think it’s a little bit too simplistic if we say what’s the going concern figure that we’re talking about and it’s extraordinary market. It’s also a certain – quite busy. At the end of August, it really picks up, and it’s a busy period until the end of September. So it would basically mean that we would eliminate seasonality in the calculation that you are doing. Then what we have estimated is that it’s approximately DKK1.5 billion, that is the basic run rate of the GIL business. and it might turn out that it’s a little bit higher, a little bit lower and arriving at the DKK3 billion figure. Of course, the remaining part will then be basically synergies or productivity gains. So that’s how we’ve done our math internally. And then we’ve said that we would then implement this throughout the year. And if you actually pay close attention to the numbers, you can see that we have estimated DKK600 million in the last quarter, which would then also give another number that you’ve indicated, which indicates overall that we might have an expectation that the market would normalize a little bit till next year, not dramatically a lot, but a little bit looking at GIL and synergies and the numbers and stuff like that.
Sam Bland: So on the GP per unit on sea, it’s not like we go out and speculate. It’s not what we do for a living in DSV. But it could be that locally every once in a while that even though there’s a tight capacity that we can still show some space which we could sell at a premium. It’s also important to notice that in a distressed situation like this, customers are often asking us to conduct more services for them, express like deliveries and urgent handling of their cargo and documentation and things like that, which can also carry along a profit opportunity for us. So I think that, that would be the kind of – these two would be the main drivers behind that. And it is a consequence of the high rate environment also. So it’s not – we cannot simply source capacity on a block space agreement which is significantly below what the market is. And if we do it, it will, in most cases, benefit our customers also. We live, as you know, from long customer relationships also. It’s very, very important for us that we can see eye to eye with our customers also want this very difficult situation for them is over.
Operator: The next question comes from Alexia Dogani from Barclays.
Alexia Dogani: Just firstly, on kind of the impact of this period of disruption to future supply chains. I mean do you believe that we are going to enter a prolonged period of less efficient, more costly operations. And I’m more referring to kind of schedule reliability, the average duration to ship goods? Or do you think the industry is working hard at bringing back effective capacity and restoring reliability at the first opportunity? And then just secondly, just picking up on Jens’ point about additional services that you are conducting during this period. Do you think you are increasing your kind of share of wallet with your customers that can therefore be sustained both normalization in the sense that some of your customers are for the first time experiencing these value-added services. And therefore normalization, most likely part of these additional provisions will stick. Jens
Jens Bjørn Andersen: Yes. I wish we could be in a position to answer a very clear yes to the last part of your question. It is tempting to do that. It is what we are seeing right now. We don’t know if this will stick in the future. But I would very much hope that customers, they also appreciate that we are doing a good job to help them in this very, very difficult environment. This is at least what I’m hearing from some customers at least. We will, of course, try to convince our customers that the services that they have bought from us right now is something that they should continue also buying going forward. On the disruption in the supply chains, it’s – I always say that I think the new normal, so to say, lies somewhere between what we saw in the past and what we see right now. I don’t think that we will get back to also unhealthy rate environment that we saw prior to COVID and the 10 years leading up to that. Nobody has an interest in these super low rates shippers. They have enjoyed artificially low rates for many, many years. We’ve seen big container lines going bust and nobody has an interest in seeing that. Nobody has an interest in continuation of the current rate environment, at least from a shippers point of view. So I think it will stay somewhere between. You are right in saying that we do see anticipated new capacity coming in, which will hopefully help on the situation. But – it’s not something that we will see until the end of next year.
Alexia Dogani: Yes. Okay. And I guess – I mean, I completely understand what you’re saying about the freight rate evolution. But I guess in terms of the operational performance of the industry. I mean, are we thinking that the industry, I’m thinking if sea freight recovers again to 75% schedule reliability and kind of these numbers of days of delays are sustained in perpetuity? Or do you think there is an interest to shorten supply chains again and improve reliability?
Jens Lund: I think if you look at it, it’s Jens here, the other Jens. So actually, two things. Of course, if we get back to just important to note then we will do more transactions per person if we make less money per transaction because we handle less services. If we then look at the supply chains in general, I think supply chains has had a low priority and many companies has not had a lot of prestige. Right now when you look at it, I think it now has reached the executive, what can I say, management of both companies and probably also the Board, the Supervisory Board, if they are organized like we are here in Denmark, because it’s become strategic now to have control over your supply chain. As you said, you could just book and the cargo would move. You can’t do that anymore. You simply have to supply – to plan your supply chain much better than you did before. And I think this will be something where we can participate as for water as well. And then the carriers with all the bottlenecks that they are facing right now in the ports or with the equipment or with drivers, so with too little, it will take some time. And I think Jens Bjorn is absolutely spot on. It will be very hard for them to invest enough to get the reliability up to the 75% again. I think that is the challenge that they are having. And since we are not part of that industry, we can only watch from the outside. And we are of the opinion that it will take years, at least if they invest so much that they can get it up because it will also mean investments in ports, et cetera. It takes time. So meanwhile, we will do what we can in order to help our customers to plan their supply chains even better so that they don’t feel the disruptions that they’re feeling right now.
Operator: We have a final follow-up question from Cristian Nedelcu from UBS.
Cristian Nedelcu: You mentioned the extraordinary market conditions helping the conversion ratios in Air & Sea. Could you help us quantify a bit what is the tailwind that you’re getting from the extraordinary market conditions? And if I’m allowed another short one, in Solutions you had a very strong margin in Q3, which is a bit in contrast with what we’re seeing in the industry, labor shortages, wage inflation and so on. Can you maybe remind us the proportion of open versus closed contract in Solution and how you’re thinking about labor shortages, wage inflation and so on. Can you maybe remind us the proportion of open versus closed contract in Solution and how you’re thinking about labor shortages and wage inflation going forward?
Jens Bjørn Andersen: If we take the Solutions contracts, I think we don’t have – it depends on the markets. But in the U.S., you would typically operate on cost plus, for example, where you in other markets perhaps would work in a transaction-based environment. So that’s in reality how it’s split. So it’s also very much to do with geography where you’re at. I don’t have the exact numbers for it. But if you look at our solutions in general and why are we doing so well, I think we’ve been shifting much of our volume towards, what can I say, we pick many more orders. They are smaller. And we have geared our capacity so that our capacity so that this means you have to have, what can I say, structures that allows high productivity. It can be various kinds of – in reality, what you need to do in the warehouse, you dense the cargo, so that you consolidate it and then you have it so that you have less, what can I say, work hours or minutes or minutes or seconds spend per pick. And you could also have goods to man solutions, other kind of automation as well that you have in the warehouse that helps you to do that. So if you dense your cargo, you use the capacity and sell it. And then on the other hand, you also then have very efficient picking, pick phases. So I think that’s what we try to do in the warehouse is over and over again and to optimize that. Then sometimes, when you look at our numbers, you can look at the individual quarter, you could also look at last quarter, last year. Sometimes we also have some implementations. I think we’ve not had too many problems implementing right now. We have a bleeder list. We call it where we have the troublesome clients. And this list is probably shorter than it’s been for a long period in time. So our change capacity when we implement is basically holding up pretty well. The other question, what was Cristian Nedelcu.
Cristian Nedelcu: Yes, it’s on the conversion ratio, it’s – we cannot extrapolate exactly what comes from the extraordinary market situation. What you can say for the overall Air & Sea division is that we have a conversion ratio now of 55%. The long-term financial targets of DSV is above not 50.7%, but 47.5% a good guess could be that the difference comes from this environment. But it could also be that we are surprised that the characteristics of our company has changed and that we have to go out and lift the long-term financial targets, it’s, of course, an ongoing discussion that we’re having. But it’s just – if we were to give some sort of indication you could maybe use that.
Operator: We have no further questions. So I will pass back to the speakers.
Jens Bjørn Andersen: Thank you, once again, everybody, for all where to get us, if you have any follow- up questions, please feel free to reach out to Flemming and the team in the IR department. I probably don’t have to tell you to do that, you will do it anyway. But thanks for listening in. We now will enter the period leading up to the end of the year. We look forward to the day when we will announce the full year results to you with also our new addition, Michael Ebbe, at the table at that moment in time. So thanks, and have a good day.